Operator: Good day, ladies and gentlemen. Before we begin, let me remind you that during today’s call Silvercrest will make forward-looking statements pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. All statements other than statements of historical fact, including statements regarding future events and developments, and Silvercrest’s future performances, as well as management’s current expectations, beliefs, plans, estimates, or projections relating to the future are forward-looking statements. These forward-looking statements are only predictions based on current expectations and projections about future events. These forward-looking statements are subject to a number of risks and uncertainties, and they are important factors that could cause actual results, level of activity, performance or achievements to differ materially than the statements made. Among these factors are fluctuations in quarterly and annual results, incurrence of net losses, adverse effects of management focusing on implementation of our growth strategy, failure to develop and maintain the Silvercrest brand and other factors disclosed in the Company’s filings with the SEC, including those factors listed under the caption entitled Risk Factors in the Company’s Annual Report on Form 10-K for the year ended December 31, 2015 filed with the SEC. In some cases these statements can be identified by forward-looking words such as believe, expect, anticipate, plan, estimate, likely, may, will, could, continue, project, predict, goal, the negative or plural of these words, and other similar expressions. These forward-looking statements are predictions based on Silvercrest’s current expectations and its projections about future events. All forward-looking statements made on this call are made as of the date hereof, and Silvercrest assumes no obligation to update these forward-looking statements. I would now like to turn the call over to Rick Hough, Chairman and Chief Executive Officer.
Rick Hough: Thank you very much and appreciate you joining us for our third quarter conference call for 2016. Silvercrest Asset Management continued our strong organic growth in both the care family wealth business and our institutional business during the quarter. We added $216 million in newly committed client accounts and assets one of the best quarters for organic business development since the first quarter of 2014. New business was generated equally by both our ultra-high net worth and institutional businesses and we remain proud of our ability to maintain a history of organic growth. Our strong investment performance during the third quarter also contributed additional growth of $456 million in discretionary assets combined with our organic growth during the quarter, our discretionary assets increased $660 million to $13.2 billion as of the end of the quarter a 12% year-over-year increase in discretionary assets under management which of course drives our firm’s revenue. The firms continue this growth while maintaining its fee basis for assets under managements and margins and while investing in the business. Importantly and looking to the business development pipeline our proprietary value equity strategies have maintained their strong performance and each of the firm’s six primary equity strategies have outperformed the relevant benchmarks for nearly every measure of period as well as since inception. We are focused on finding selective and prudent acquisitions in money-center cities, and we believe Silvercrest’s growth, culture and premier brand in the RIA business, makes us a desirable business partner. We are optimistic about implementing our organic growth with accretive acquisitions to add professional talent as well as to broaden our high net worth network of clients. Scott, if you could now address the financials on behalf of the third quarter and shareholders and then we will take questions, thanks.
Scott Gerard: Thanks, Rick. As disclosed in our earnings release for the third quarter, discretionary AUM as of September 30, 2016 was $13.2 billion and total AUM as of September 30 was $17.9 million. Revenue for the quarter was $20.5 million and reported consolidated net income for the quarter was $2.9 million. Looking at the quarter, revenue for the third quarter again was $20.5 million representing approximately a 3% increase over revenue of $20 million for the same period last year, this was driven by growth in management and the advisory fees revenue as a result of increased AUM. Expenses for the third quarter $16.3 million representing approximately a 4% increase from expenses of $15.7 million for the same period last year. This increase was primarily attributable to increases in compensation and benefits expense of $0.6 million and what drove the comp increase was higher equity based compensation expense as a result of restricted stock unit grants that were made in August of last year primarily and a small amount that were made in May of this year. Increased salary expense also drove the increase as a result of both metric based increases and increased headcount due to the Jamison and Cappiccille acquisitions and an increase in the accrual for bonuses. General and administrative expenses for the quarter basically remain flat to last year at $4.1 million. Reported consolidated net income was $2.9 million for the quarter as compared to $2.8 million in the same period last year and reported net income attributable to Silvercrest were the Class A shareholders for the third quarter of this year was $1.5 million or $0.19 per basic and diluted Class A share. Adjusted EBITDA which we defined as EBITDA without giving effect to equity based compensation expense and non-core items was approximately $5.9 million or 28.8% of revenue for the quarter compared to $5.8 million or 28.8% of revenue for the same period last year. Adjusted net income which we defined as net income without effect to non-core items and income tax expense assuming a corporate rate of 40% was $2.6 million for the quarter or $0.20 per adjusted basis share and $0.19 per adjusted diluted share. Adjusted Earnings Per Share is equal to adjusted net income divided by the actual Class A and Class B shares outstanding as of the end of the reporting period for basic Adjusted Earnings Per Share and to the extent dilutive, we add unvested deferred equity units, restricted stock units and performance units to the total shares outstanding to compute diluted adjusted earnings per share. Looking at the nine months, revenue was $59.1 million representing approximately a 6% increase over revenue of $56 million for the same period last year. This increase again was primarily driven by growth in our management and advisory fees as a result of increased AUM and expenses for the nine months ended September 30 of this year were $47.8 million representing approximately 11% increase from expenses of $42.9 billion for the same period last year, increases the comp and benefit expense of $3.7 million and G&A of $1.2 million contributed to the overall expense increase and comp and benefits again was higher, because of the equity-based compensation related to the restricted stock grants that I previously discussed and also increased salary expense due to merit based increases and increased headcount again to due to the Jamison and Cappiccille acquisitions. G&A increased primarily because of increased investment and research cost, increased amortization expense related to intangibles acquired as part of the Jamison and acquisition and increased sub-advisory and referral fees which was associated with increases in revenue for sub-advisory efforts. Reported consolidated net income was $7.5 million for the nine months ended September 30 of this year that compared to $8.9 million in the same period last year. And again, reported net income attributable to the Class A shareholders for the nine months ended September 30, this year was $3.7 million or $0.47 per basic and diluted Class A share. Adjusted EBITDA was approximately $16.6 million or 20% of revenue for the nine months of this year compared to $16.1 million or 28.8% of revenue for the same period last year. Adjusted net income was $7.2 million for the nine months ended September 30 this year or $0.56 per adjusted basic share and $0.53 per adjusted diluted share. Taking a quick look at the balance sheet, our total assets were approximately $102.6 million as of September 30 of this year and that compared to $108.2 million as of December 31 last year. Cash and cash equivalents were approximately $30 million at September 30 and this compared to $31.6 million at December 31 of last year, note payable was approximately $2.6 million at September 30 of this year and that compared to $4.5 million as of December 31 last year. Lastly, total Class A stockholder’s equity was approximately $47 million at September 30 of this year. That concludes my remarks. I will now turn it over to Rick.
Rick Hough: Thanks very much, Scott. We will open the line now for questions.
Operator: [Operator Instructions] And our first question comes from the line of Andrew Disdier from Sandler O’Neill. Your line is now open.
Andrew Disdier: Hi, thanks. Good morning, gentlemen.
Rick Hough: Good morning Andrew.
Scott Gerard: Good morning Andrew.
Andrew Disdier: So first one on the quarter, could you talk about the fee rate if you can stratifying by institutional versus ultra-high net worth and also some of the drivers and maybe the outlook for the rev yield?
Rick Hough: So we don’t give guidance and outlook. However, the new flows that we reported which were as I had stated early in terms of new organic business really strong, in fact it was our best new organic flow quarter since the first quarter of 2014. We saw an uptick in the basis points that were receiving for our discretionary assets under management, in fact that news business is probably several percentage points maybe even close to 10% higher than what our average was over a year ago. Of course those revenues haven’t been realized yet but the trend of our new business flows effectively over the past few years has been very stable with regards to our pricing. We have not faced the downward pressure in fees that a lot of other asset managers have and to the contrary it’s actually gone up a bit, that’s primarily due to strong quarter related to the family wealth business. The institutional business just given the amount of assets that can be put into the firm has very substantial pricing power. The basis points there have remained very steady across the board and there was just a bit less of it this quarter that it was compared to the high net worth flows. 
Andrew Disdier: And then next, elaborating on the new client asset growth, if possible is there an estimate that you know that you can generate with regards to kind of wallet share related to those relationships and maybe remind us what the year current wallet share of the customer basis today?
Rick Hough: It’s very hard for us to measure because we don’t necessarily see all of our client’s assets unless they choose to share them with us. Where we do see it is where people are giving us non-discretionary assets as part of their overall wealth portfolio profile to report on and when we take those into account at the firm, we are well north of 80% of their assets overall. If you drop down in the AUM, our average is hovering around $30 million per relationship but if you drop down to close door median relationships because an average is skewed by the largest relationships, we have the vast majority of the assets of our clients, in terms of liquid securities upwards of 90% or more. The real driver for us in terms of net inflows organic growth that we’ve seen is new relationship acquisition of clients or clients who are still in business and experiencing healthy flows that they then commit to our firm. One thing that is done extremely well for us of course is the great outperformance of our strategies at the firm on behalf of our client. It continues to build confidence and of course makes us the first likely stuff [ph] for client working with us for committing new assets.
Andrew Disdier: Great. And then moving to the flow trends during the quarter, I know you said there was an equal contribution in your prepared remarks between the institutional and the ultra-high net worth channels?
Rick Hough: Yes.
Andrew Disdier: Which is wondering is there is anything chunky on the ultra-high net worth side.
Rick Hough: Yes, there were. This doesn’t represent dozens of relationships, our net inflows represents a few new relationships, so yes, there is substantial families. I would rather not get into more color than that.
Andrew Disdier: That’s fair, that’s fair. And then with regards to your comments around the institutional pipeline, can you kind of just update us where you are with the progression with the Smid Cap or the equal income strategies. I know there is a lot, it’s seems like there is a lot of capacity for you to kind of take on especially related to the Smid Cap product?
Rick Hough: Yes, I am very glad you asked that question because I don’t think we made anything exclusive about it in the release. But we as you know, we have experienced really great substantial progress with the small cap portfolio and that has been the driver of our institutional new business for some time and of course our outperformance has continued making that effort one we could really execute on quite well. We recently announced the soft close of our small cap strategy, it’s open for certain relationships and under certain circumstances and is available is to our family clients. So we – as we’ve talked about in prior conferences calls, we’ve been looking to introduce the consultants and start to get into more advertised searches for Smid Cap in some of our other strategies. As you can see from the release, the performance in those strategies has remained very, very strong, certainly one of the best equity income performance records in the industry and the firm has experienced net inflows for quite some time into our equity strategies where the industry at large and I dare say most other firms with equity strategies has seen net outflows. The effort to introduce that is going well. We will report more on that in the future but that’s exactly right, that’s overdoing the spade work and just given the outperformance and the roster blue-chip institutional investors that we now have in our strategy, we’re optimistic about our ability to grow that business using those other strategies.
Andrew Disdier: That’s really good color. And I guess related to that, just because of the outperformance over time, do you think there could be an acceleration to market because your strategies have been performing so well?
Rick Hough: It could be. I mean, it’s speculative, I don’t know. We are working hard. I have enormous confidence in the team we built here not just at the strategy level but in terms of the execution of the business, the support staff the marketing effort, so I am quite optimistic about how we’ll do.
Andrew Disdier: Fantastic. And then last one for me, switching to the hot-button topic, the Department of Labor rules, I understand that you are already operating as fiduciary but could you possibly frame the potentials exposure through retirement assets, would you be able to discuss how you think the rules could impact the business both at Silvercrest level and the broader ultra-high net worth space and then lastly, how is Silvercrest preparing for the new regulation?
Rick Hough: Yes. Well, first of all, I don’t think it really affects the ultra-high net worth space. Right, these rules really affect the counts and pulled retirement vehicles that much more likely to effect small businesses and retail investors. We have very little exposure to that kind of business. We are not out there actively seeking to manage those plans in competition with broker dealers. So I can understand the pressures and issues they face in fact I am surprised how often I hear people talking about it on my commute because clearly their own businesses have to readjust and it’s a real problem about how they are going to do it and be able to server those accounts effectively because of the way the fee model works for them. We have never operated as a broker-dealer. We don’t have a broker-dealer. As you pointed out, we’re a complete and total fiduciary as an SEC regulated registered investment advisor. We’re already managing any monies like that as a fiduciary and we will continue to do so. So it has no effect on us whatsoever in terms of adjusting our own business. We are already there. We are just going to keep prosecuting the business we have.
Andrew Disdier: Great, thanks for taking the questions gentlemen.
Rick Hough: You’re welcome Andrew.
Operator: Thank you. [Operator Instructions] And I am showing no further questions over the phone line.